Operator: Good day, and thank you for standing by. Welcome to the Ducommun Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Suman Mookerji, Senior Vice President and Chief Financial Officer. Please go ahead.
Suman Mookerji: Thank you, and welcome to the Ducommun's 2025 Third Quarter Conference Call. With me today is Steve Oswald, Chairman, President and Chief Executive Officer. I'm going to discuss certain limitations to any forward-looking statements regarding future events, projections or performance that we may make during the prepared remarks or the Q&A session that follows. Certain statements today that are not historical facts, including any statements as to future market and regulatory conditions, results of operations and financial projections, including those under our VISION 2027 game plan for investors are forward-looking statements under the Private Securities Litigation Reform Act of 1995 and are, therefore, perspective. These forward-looking statements are subject to risks, uncertainties and other factors, which could cause actual results to differ materially from the future results expressed or implied by such forward-looking statements. Although we believe that the expectations reflected in our forward-looking statements are reasonable, we can give no assurance that such expectations will prove to have been correct. In addition, estimates of future operating results are based on the company's current business, which is subject to change. Particular risks facing Ducommun include, amongst others, the cyclicality of our end-use markets, the level of U.S. government defense spending, our customers may experience delays in the launch and certification of new products, timing of orders from our customers, our ability to obtain financing and service existing debt to fund capital expenditures and meet our working capital needs, legal and regulatory risks including pending litigation matters generally as well as any potential losses arising from third-party supplication claims related to the Guaymas Performance Center fire that may become material, the cost of expansion, consolidation and acquisitions, competition, economic and geopolitical developments, including supply chain issues, international trade restrictions, the impact of tariffs and elevated interest rates, risks associated with the prolonged U.S. federal government shutdown, the ability to attract and retain key personnel and avoid labor disruptions, the ability to adequately protect and enforce intellectual property rights, pandemics, disasters, natural or otherwise, and risk of cybersecurity attacks. Please refer to our annual report on Form 10-K quarterly reports on Form 10-Q and other reports filed from time to time with the SEC as well as the press release issued today for a detailed discussion of the risks. Our forward-looking statements are subject to those risks. Statements made during this call are only as of the time made, and we do not intend to update any statements made in this presentation, except if and as required by regulatory authorities. This call also includes non-GAAP financial measures. Please refer to our filings with the SEC for a reconciliation of the GAAP to non-GAAP measures referenced on this call. We have filed our Q3 2025 quarterly report on Form 10-Q with the SEC. I would now like to turn the call over to Steve Oswald for a review of the operating results. Steve?
Stephen Oswald: Okay. Thank you, Suman, and thanks, everyone, for joining us today for our third quarter conference call. Today, as usual, I will give an update of the current financial situation of the company, after which, Suman will review our financials in detail. Let me start again on this quarterly call with Ducommun's VISION 2027 game plan for investors as we finalize our third year of execution in Q4 2025. Strategy and vision were developed coming out of the COVID pandemic over the summer and fall of 2022, unanimously approved by Ducommun Board in November 2022, then presented the following month in New York to investors where we got excellent feedback. Since that time, Ducommun's management has been executing the strategy by increasing the revenue percentage of engineered products and aftermarket content, which is at 23% this year, up from 15% in 2022, consolidating our rooftop footprint in contract manufacturing, continuing our focused acquisition program, executing the offloading strategy with defense primes and high-growth segments, driving value-added pricing, expanding content on key commercial aerospace platforms. All of us here as well as my fellow board members continue to have a high level of conviction in the VISION 2027 strategy and financial goals and believe the market catalyst ahead present a unique value creation opportunity for shareholders. The Q3 2025 results show again the strategy initiatives are working with both gross and adjusted EBITDA margins, for example, at record levels with much more opportunity to come for DCO. I'm also very pleased to announce that our next investor conference will be in the fall of 2026 in New York, and we will present the next 5-year vision for DCO, which I believe will be very compelling, I look forward to it. For Q3, I'm pleased to report that revenues reached a new quarterly record of $212.6 million or 6% over last year, beating our prior record of $202.3 million just set last quarter and marking this our 18th consecutive quarter of year-over-year growth in revenue. We achieved this despite continued headwinds in our commercial aerospace business, which has been previously forecasted due to destocking at BA and SPR. Company, however, continued to see double-digit growth in defense business, which grew 13% during the quarter, making it our third double-digit quarter in a row. The growth in defense was driven by strong -- very strong performance in our missile franchise, which grew by 21% in the quarter, although with our military fixed-wing aircraft business up 17% and rotary-wing aircraft platform is rising 22%. The outlook for our Defense business continues to look great. In addition to the highlights I just mentioned, the Apache tail rotor blade is now fully approved by BA and in production at our new location in Coxsackie, New York. The total missile case is also in production in Guaymas, Mexico, which is one last sign-up from RTX on the case harness remaining. This is all very good news with the Tomahawk, our last major program to move, set for full production in 2026. Separately, and as previously mentioned, our team continues to build scale at other defense customers outside of RTX which has been a long-term goal. A great example is BAE Systems at over $21 million, up 39% year-to-date versus 2024. DCO also had an excellent bookings quarter with $338 million of new orders in Q3, representing a book-to-bill of 1.6x. This increased our remaining performance obligations to $1.03 billion as well, a new record for the company. We feel very confident now about our momentum in orders, and Q4 as well is looking strong across the board. I talked about our missile business earlier this year, and that continues to outperform. We are positioned very well strategically to benefit from the replenishment of depleted worldwide inventories along with a very robust U.S. and FMS order activity. Ducommun is a supplier on over a dozen key missile platforms, including AMRAAM, MIR, PAC-3, SM2, SM3, SM6, tomahawk, Naval Strike Missile and TOW, amongst others. Our missile business was up 21% in the third quarter and is now up 27% year-to-date in 2025. We see continued growth in our pipeline of opportunities going forward, which is excellent news. Complementing our missile portfolio is a strong radar franchise, which is up and coming at DCO. This includes marquee programs such as the SPY-6 radar, which I mentioned earlier, the [ LTAMDS ] radar, which is part of the patriot missile defense system, the TPY-2 radar used on the THAAD missile defense system, the G/ATOA radar used by the U.S. Marine Corps and various other radar platforms. This combination of both missile and radar platforms positions and aligns us with key defense priorities outlined in the U.S. defense budget, including the Golden Dome as well as NATO priorities. Strong growth in our Defense business more than offset lower revenue in our commercial aerospace business, which declined 10% in the quarter. However, the outlook is promising for Commercial Aerospace as Boeing received approval from the FAA to increase their build rates from 38 to 42 on the 737 MAX as well as strong momentum in the 787 bills. This reinforces our optimism about the commercial business once we get through the destocking in 2026. We also like the balance of having both defense and commercial aerospace revenues, contributing and offsetting at times. Gross margins also grew $3.8 million to 26.6% in Q3 on par with the record gross margin percentage achieved in the first half of 2025, up 40 basis points year-over-year from 26.2% as we continue to realize the benefits from our growing engineered products portfolio with aftermarket, strategic value pricing initiatives, restructuring actions and productivity improvements. We also sold the Berryville, Arkansas facility in Q2 and are actively marketing the Monrovia, California facility, and we're seeing initial cost savings in our P&L with $11 million to $13 million still on target in 2026. For adjusted operating income margins in Q3, the team delivered 10.6%, which was just above the prior year of 10.5%. Structural Systems segment margin grew nicely in the quarter with productivity improvements and a good mix of profitable business. Adjusted EBITDA continues to improve on our march to our VISION 2027 goal of 18% in 2027 from 13% in 2022. DCO achieved 16.2% of revenue for the first time in Q3, up $2.5 million from Q3 2024 to $34.4 million, tremendous progress in the past 3 years. This is our third consecutive quarter with adjusted EBITDA above $30 million, and it represents an expansion of 30 basis points above prior year and 9 quarters to go to reach 18%. Subsequent to our 3 months ended September 27, 2025. In October, we entered into a binding settlement term sheet to resolve the Guaymas Fire litigation against us. Term sheet provides for, amongst other things, the final dismissal of the Guaymas fire litigation against us with prejudice and release of claims against us in exchange for us issuing a payment of $150 million, $56 million of which is expected to be funded by our insurance carriers. In addition, we also settled ancillary subrogation claims for $1.35 million. The Guaymas facility fire occurred in June of 2020. We recorded settlements of related costs of $99.7 million in Q3, and those charges are reflected in our GAAP earnings results. GAAP EPS was a loss of $4.30 a share in Q3 2025 versus income of $0.67 per diluted share for Q3 2024. With the adjustments, diluted EPS was $0.99 a share in Q3 2025 and in line with the adjusted diluted EPS of $0.99 in the prior year quarter. The lower GAAP EPS was due to litigation settlement and related costs net. I am happy to report this quarter the company's RPO grew to a new record level of $1.03 billion, increasing $125 million sequentially. Growth in RPO during the quarter was both across commercial, aerospace and defense business. We closed on a number of opportunities that restocked our RPO and are well positioned for continuing revenue growth. Our book-to-bill again was 1.6x, a great number for DCO and excellent momentum ahead in the pipeline for Q4. On the outlook for the fourth quarter, we expect to see continued momentum in defense business, partially offset by the impact of destocking and commercial aerospace. We are reaffirming our guidance of mid-single-digit revenue growth for the full year 2025 and reiterating our expectation for low double-digit growth in Q4. In addition, tariffs have not had a material impact on our results, and we expect that to continue, which is a great story for our investors. Now let me provide some additional color on our markets, products and programs. Beginning with our military and space sector, we saw revenues of $126 million compared to $111 million in Q3 2024. Growth was driven by a fifth straight quarter of strong year-over-year improvements in missile programs such as the Naval Strike Missile, RAM, AMRAAM as well as solid growth in military rotorcraft on the SPY-6 radar and our military ground vehicles. Within our commercial aerospace operations, third quarter declined 10% year-over-year to $77 million, driven mainly by lower rates on regional and business jets and of course, Boeing platforms. As I mentioned earlier, we believe that finally, much better stories ahead for BA and MAX. Now that inventory production is ramping up and they are working through their overstocked inventory. Revenue in our Industrial businesses increased $5 million during Q3 with customers making last time buys and replenishing depleted stock. While not a core to our portfolio, there are a few customers we continue to serve with no interruption to our core aerospace and defense business. With that, I'll let Suman review our financials in detail. Suman?
Suman Mookerji: Thank you, Steve. As a reminder, please see the company's 10-Q and Q3 earnings release for a further description of information mentioned on today's call. As Steve discussed, our third quarter results reflected another record quarter of revenue with strong growth across all our military end markets, including missiles, fixed-wing aircraft, rotorcraft, ground vehicles and radars. Gross margins maintained at record levels established in the first half, and we saw another quarter of record EBITDA. We are nearly at the end of our facility consolidation project, which will drive further synergies into 2026 as we ramp up production of the various product lines that were moved. As Steve highlighted earlier, we also made great progress in continuing to build up our engineered products portfolio with those revenues contributing 23% to our mix this year. These actions, along with our strategic pricing initiatives drove continued gross margin expansion in Q3 and is keeping us on pace to achieve our VISION 2027 goals. Now turning to our third quarter results. Revenue for the third quarter of 2025 was $212.6 million versus $201.4 million for the third quarter of 2024. The year-over-year increase of 6% reflects strong growth in military and space of 13%, driven by increases in missiles, fixed-wing aircraft, military rotorcraft, ground vehicles and radars. This was partially offset by weakness in our commercial aerospace business, mainly driven by lower revenues across large commercial, including both Boeing and Airbus platforms and on business jets. We posted total gross profit of $56.5 million or 26.6% of revenue for the quarter versus $52.7 million or 26.2% of revenue in the prior year period. We continue to provide adjusted gross margins as we had certain non-GAAP cost of revenue adjustment items in the prior year period relating to inventory step-up amortization on our acquisitions. On an adjusted basis, our gross margins were 26.6% in Q3 2025 and 26.5% in Q3 2024. I also want to add that we did not see any measurable impact from tariffs in the third quarter. And as Steve mentioned, we do not anticipate any significant impact to our P&L at this time. We are a U.S. manufacturing business with U.S. employees and generate 95% of revenues from our domestic facilities. Our revenues are also largely to domestic customers with U.S. revenues in excess of 85% year-to-date Q3. Revenues to China were up 3% year-to-date, mostly 1 customer for Airbus and there has been no impact to those volumes or orders at this time due to the tariffs. Our supply chain is also largely domestic with less than 5% of our direct suppliers being foreign. Some of our domestic suppliers do source materials from outside the United States, but even that is a very manageable spend with China being a low single-digit percentage. We expect to largely mitigate the impact of tariffs on our material spend through military duty-free exemptions, alternate sourcing of materials from domestic suppliers or by passing on the impact to our customers. Ducommun reported an operating loss for the third quarter of $80.1 million compared to operating income of $15.3 million or 7.6% of revenue in the prior year period. Adjusted operating income was $22.4 million or 10.6% of revenue this quarter compared to $21.1 million or 10.5% of revenue in the comparable period last year. The net operating loss was experienced due to the litigation settlement and related costs of $99.7 million. The company reported a net loss for the third quarter of 2025 of $64.4 million or $4.30 per share compared to net income of $10.1 million or $0.67 per diluted share a year ago. On an adjusted basis, the company reported net income of $15.2 million or $0.99 per diluted share compared to adjusted net income of $14.8 million or $0.99 in Q3 2024. The GAAP net loss was primarily due to the litigation settlement and related costs and the higher adjusted net income during the quarter was driven by higher adjusted operating income after excluding the litigation settlement and related costs. Now let me turn to our segment results. Our Structural Systems segment posted revenue of $89 million in the third quarter of 2025 versus $86 million last year. The year-over-year change reflects $6 million of higher revenue in our military and space business, driven by military rotorcraft and ground vehicles, offset by $2.5 million in lower revenues across our commercial aerospace business, mainly driven by lower revenues on business jet platforms. We have completed the transition of certain commercial rotorcraft product lines under our facility consolidation initiative, and we are starting to see growth in those platforms. Structural Systems operating income for the quarter was $11.9 million or 13.3% of revenue compared to $8.3 million or 9.6% of revenue for the prior year quarter. Excluding restructuring charges and other adjustments in both years, the segment operating margin was 16% in Q3 2025 versus 14.7% in Q3 2024. The increase in year-over-year margin was driven by savings from plant consolidation. Our Electronic Systems segment posted revenue of $123.1 million in the third quarter of 2025 versus $115.4 million in the prior year period. The year-over-year change reflected $8.2 million in higher revenues in military and space applications driven by strong growth in missiles and fixed wing aircraft and radar systems. Our industrial business increased $5 million during Q3 with certain customers making last time buys. Growth in these segments was partially offset by lower revenues from commercial aerospace. Electronic Systems operating income for the third quarter was $21.1 million or 17.1% of revenue versus $18.9 million or 16.4% of revenue in the prior year period. Excluding restructuring charges and other adjustments in both years, the segment operating margin was 17.5% in Q3 2025 versus 16.8% in Q3 2024. The year-over-year increase was driven by higher manufacturing volumes. Next, I would like to provide an update on our ongoing restructuring program. As a reminder and as discussed previously, we commenced a restructuring initiative back in 2022. These actions are being taken to better position the company with stronger performance in the short and long term. This includes the shutdown of our facilities in Monrovia, California and Berryville, Arkansas and the transfer of that work to our low-cost operation in Guaymas, Mexico and to other existing performance centers in the United States. We continue to make progress on these transitions and the receiving facilities have started ramping up production here in Q4. Last month, we started full production of rotor blades for the Apache helicopter at our Coxsackie New York facility which completes the transition of that program from California. We also completed the transition for 737 MAX spoilers and TOW missile cases, both of which are now in production in Guaymas. During Q3 2025, we recorded $0.6 million net in restructuring charges. We expect to incur an additional $0.5 million in restructuring expenses as we complete the program by the end of Q4. As previously communicated, we expect to generate $11 million to $13 million in annual savings from our actions and have already seen some realization of savings in 2024 and in the current year. We expect the synergies to ramp up in 2026 as the receiving facilities move up the learning curve and ramp up to full rate production. We are actively marketing the land and building in Monrovia after having closed on the sale of the Berryville facility in Q2. Turning now to liquidity and capital resources. In Q3 2025, we generated $18.1 million in cash flow from operating activities, which was an improvement compared to $13.9 million in Q3 2024. The improvement was due to higher adjusted operating income, lower interest costs and lower cash taxes, partially offset by higher operating working capital. As of the end of the third quarter, we had available liquidity of $250.7 million comprised of the unutilized portion of our revolver and cash on hand. Our existing credit facility was put in place in July 2022 at an opportune time in the credit market, allowing us to reduce our spread, increase the size of our revolver and allowing us the flexibility to execute on our acquisition strategy. Our strong cash generation allowed us to pay down the remaining balance on our revolver during Q2 2025, and the entire $200 million revolver capacity is available to us at this time. We expect to draw down $95 million during Q4 to make payment under the legal settlement agreement. After the drawdown, we expect pro forma net leverage to be approximately 2.3x. This leaves sufficient leverage headroom and also in excess of $100 million available to us on the revolver, along with cash on hand. This provides sufficient liquidity to fund our operations and execute on our acquisition agenda. Separately, we are working with our banking group to expand and extend our credit facility to support the next leg of growth at Ducommun. Interest expenses in Q3 2025 was $2.9 million compared to $3.8 million in Q3 of 2024. The year-over-year improvement in interest cost was primarily due to lower interest rates, along with the lower debt balance. In November 2021, we put in place an interest rate hedge that went into effect for a 7-year period starting January 2024 and pegs the 1-month term SOFR at 170 basis points for $150 million of our debt. The hedge will continue to drive significant interest cost savings for the rest of 2025 and beyond. To conclude the financial overview for Q3 2025, I would like to say that the third quarter results continue the strong results we have achieved this year, building on the momentum from 2024 and positions us well for the rest of the year and beyond. I'll now turn it back over to Steve for his closing remarks.
Stephen Oswald: Okay. Thanks, Suman. Appreciate it. Okay. Just in closing, Q3 was another success, I believe, for DCO and its shareholders to continue driving our strategy while effectively managing the headwind from commercial aerospace. We achieved another quarter of record revenue. Adjusted EBITDA margins and adjusted gross margins were also at record levels of 16.2% and 26.6%, respectively. The company is also well positioned to meet and exceed our VISION 2027 target of 25% plus of engineered product revenues, year-to-date 2025 Q3 at 23%. As everyone knows, driving this percentage as high as possible is our #1 strategic focus and drive here at the company. Finally, with the continued strength in defense activity, the commercial bill rates heading higher, I'm very optimistic about what lies ahead in Q4 and the next few years for our shareholders, employees and other stakeholders. So thank you for listening, and let's go to questions.
Operator: [Operator Instructions] Our first question comes from the line of Ken Herbert of RBC Capital Markets.
Kenneth Herbert: Steve, I just wanted to ask really strong bookings in the quarter within commercial aerospace, can you provide any more detail in terms of what you saw there? And specifically, level set us maybe at what your ship rate is currently on the MAX and maybe how much of a headwind we should think about that into 2026?
Stephen Oswald: Yes. Let me just -- thanks, Ken. Good to hear from you, and Suman can jump in as well. We first talk about the build rates. So the MAX build rate is really -- people always talk about Boeing and the build rates, and that's true for us. But we have a lot of business in Spirit. So it's really -- I think we probably have more on the MAX and Spirit than we do at Boeing. We obviously do spoilers direct and we do some other things direct, but we do a lot of stuff for the fuselage at Spirit, that's still down. I mean it's still running, I would say, probably 26, 28 a month, right?
Suman Mookerji: That's right. In terms of us shipping our physical product, we're seeing mid-20s to high-20s, as Steve noted. And I would say our -- we want to maintain level load in our factories. So our production, depending on the parts and our view of inventory in the system, our part production may range to between 30 to 40 aircraft per month. So there are times for certain parts where we are continuing to build ahead to balance production in our facilities. We did see growth in bookings across Boeing and Airbus. We got some good additional order inflow for work we do on the nacelles for Airbus, not directly to Airbus, but on Airbus platforms. So there was -- it was good to see the bookings pick up and remaining performance obligations tick up for commercial aerospace. I mean it certainly did for defense as well, but it was good to see that tick up for commercial aerospace as well this quarter.
Stephen Oswald: Yes. We're really -- again, we're really happy with the orders and we are really -- would really like to see the activity at Airbus for us. So I think it was strong across the board, Ken, as you know.
Kenneth Herbert: If I could, the guide mid-single digit growth for the full year, your comment implies low double-digit growth in the fourth quarter. What are the puts and takes on that mid-single digit? I mean, where could we maybe see upside in the fourth quarter? Where are you still sort of seeing some pressure perhaps as you think about closing out the year?
Suman Mookerji: I would say there continues to be pressure with destocking on the commercial aerospace side. So we expect that to continue to be a headwind that we will work through. Medium- to longer-term outlook continues to get more and more positive and brighter, but the immediate impact here in Q4, I think we'll continue to see some pressure there. On the defense side, we continue to see strong activity. We expect that to be the bright spot in Q4 as well, both with order intake and revenues. I think we try to be as balanced as possible with our...
Stephen Oswald: And also -- I mean, one of the real bright spots at BA, Ken, you know, the 787, even though they're going to do a lot more down and they have a lot of plans for that is that they've been -- when they get to 8 or 10, which I'm sure they'll get through fairly quickly, that's real money for Ducommun. So we're really -- we're very enthusiastic about that program as well.
Operator: Our next question comes from the line of Mike Crawford of R. Riley Securities -- or B.Riley Securities.
Michael Crawford: Yes. Thank you, B. Riley. So what's that $100 million difference in the RPO and the backlog between that $1.03 billion and the [ $1.116 ].
Stephen Oswald: You mean what is the -- where is the...
Suman Mookerji: [indiscernible].
Stephen Oswald: Yes. So it came evenly between both commercial aerospace as well as defense. So we saw order intake on both fronts, driving the growth in RPO. As we said, in the commercial side, we saw growth with Airbus, but also with on Boeing platforms in order intake. On the defense side, we continue to see strong intake of orders on missile platforms that continue to support our growth there.
Suman Mookerji: I think he was asking also the difference with backlog and RPO.
Stephen Oswald: The difference between backlog. I'm sorry, Mike, is that what you want?
Michael Crawford: Yes.
Stephen Oswald: Yes. Okay. So RPO is a GAAP term, right? So that's the remaining performance obligations that is revenue yet to be recognized. Backlog is more linked to shipments. So that's kind of the primary difference. Backlog, we also constrained to a 2-year window. We include forecasts under LTA within backlog. So I would refer you to our 10-K and Q filings where we have kind of given a full and more precise definition of the backlog. But those are the key items that are within backlog, whereas RPO is unconstrained, so there isn't any time period constraint. It's the total remaining orders that are unfulfilled or for which we have not recognized revenue as yet in our financial statements.
Michael Crawford: Okay. Yes. That makes sense. And then for Engineered Products, the year-to-date mix was 23%, I think that's the same as it was in the first half. So I just wanted to make sure that was the mix in the third quarter itself. And then if you had any thoughts on whether that is growing faster than the rest of the business in Q4 and/or next year?
Stephen Oswald: Yes. So first -- yes, so look, we're really happy from where we came from a couple of years ago, 23% is a good number, hard to do, right? Because you do have -- we have a big contract manufacturing business, right? So you're fighting the percentages. So we're pleased that 23%. We did have -- we've had a good first 9 months. I see that going forward. Now I'd also mention that the upticks last year have been all organic, which has been terrific, right? So what we're using for shareholder money and buying these companies in the last 4, 5, 6 years, actually had doing a fairly good job for the organic growth. So we see that continuing. Obviously, we also have our other leg of our strategy, which is our acquisitions, and that's all going to be Engineered Products in the aftermarket. And that's -- Suman is obviously leading that, along with myself and the rest of the team. So we feel good about it. We've got 9 quarters to go, Mike. So we're confident we're going to beat that number in '25.
Michael Crawford: And then last one for me is, so from last time buys, industrial was up in the third quarter, but I imagine that starts to come down and it is down next year, maybe thereafter. And so what do you do with that manufacturing space? Is it -- what does it port over to?
Stephen Oswald: All right. I mean that moves primarily to aerospace and defense. And that's the objective behind pruning our industrial business where we're not getting sufficient returns. And we did see, as we noted, slightly higher revenues this quarter. I think it goes back to the run rate we have been seeing in Q1 and Q2 of this year, again, here in Q4. And it kind of -- it will be flattish to slightly down potentially in the future. If we don't make the required margin, we're not going to continue that business.
Suman Mookerji: And Mike, goal, all that business are -- its cards. So all that business is circuit cards or CCA. So as that goes down, that goes directly over to Raytheon cards and other cards that we're making for customers. It's primarily out of Appleton, right? This is the Appleton facility. So it's a nice mix where we're just going to -- we have still SMT machines. We have the same people. It's just that -- so it's not like it's in 3 different locations. So it's going to be easy for us.
Operator: Next question comes from the line of Sam Struhsaker of Truist Securities.
Samuel Struhsaker: On for Mike Ciarmoli today. Appreciate you taking the questions. It looks like margins have kind of been nice steadily improving and expanding here. I was just curious if you could give some thoughts from you guys on sort of where you're thinking about kind of the cadence of opportunities to continue to expand those margins might fall both for 2025 and throughout 2026?
Stephen Oswald: Yes. It's a good question. And we do expect margins to be stable here for the rest of 2025 and then -- and as we look into 2026, again, we don't provide specific guidance on margin. But what I would say is that a big opportunity for us is to drive the savings from our facility consolidation efforts. So all the product lines that Steve mentioned earlier that we have transitioned from high-cost locations to lower-cost locations are going to ramp up and we get up the learning curve on production with these products, they're going to drive strong savings for us in 2026. So that's going to be a key driver. In addition to the things we do all day, every day, right, we want to get paid for the value we provide and drive strategic pricing. We want to find opportunities to continue to drive cost efficiencies and we want to continue our transition to more engineered products, which improves the revenue mix and drives higher margins. So those will continue. But the big the big nugget there in 2026 is the facility consolidation.
Suman Mookerji: Yes. Yes. I think overall, Sam, that's sort of the recipe. We're going to continue to enjoy. We have very good demand in aftermarket in the commercial aerospace. We'll continue to enjoy that. Obviously, we're going to continue to -- where we provide value raised prices each and every year in that area as well as engineered products. So we have a lot of strength there and just more of the same. So we feel good about next year on margins.
Samuel Struhsaker: That's great. And if I could just sneak in one other. I'm curious, you guys obviously called out M&A as a point of interest in the past, but just kind of curious about your thoughts on capacity there following this recent litigation expense? And maybe if there's any change in time line there?
Stephen Oswald: So we do continue to have availability on our revolver, and we will post the drawdown related to the litigation settlement. We -- our net leverage, as I said earlier, is expected to be low 2s after making that payment. And we continue to generate cash. We'll continue to pay down debt and lower that leverage, and that opens up capacity for us going forward. So we are in discussions with our banks to increase the size of our facilities and extend the tenor of our current facility so that we have more flexibility going forward on being able to execute on acquisitions. So M&A continues to be a focus area for us, and we have and we'll continue to ensure we have sufficient liquidity to be able to execute on that plan.
Operator: Our next question comes from the line of Tony Bancroft of GAMCO Investors.
George Bancroft: Great job as always. Just you talked about Golden Dome. I know it's pretty far out -- it's [ Boeing ] pretty far out there, but your -- a lot of your customers -- a high percentage of your customers are going to be big, probably participants in this program. And have you heard anything initially, maybe what they're telling you so you can begin planning phase or where -- what parts of your business do you think you're going to be most exposed to it?
Stephen Oswald: Yes. Well, look, we're -- it's certainly something we're excited about because we are very to your point, very well positioned. Obviously, the missile franchise that we have, depending on what they use, what they deploy. I mean we're pretty much on every missile or pretty close to every missile persist on the RTX side. So we feel great about that. The other positive thing for investors, and I talked about this, it just -- it's happened for reasons like offloading from RTX for the SPY-6 and other things. And really -- we're really starting to build a radar franchise that is gaining more and more traction. That's going to be the other thing, right? I mean, we not only make radar for ground-based installations, I mean something that's exciting that we're thankful that it's going to go forward as the E7 Wedgetail, which we do a lot with for Northrop, it's folks that don't know it's a Boeing plane outfitted for sort of the brain of warfare and so that's on its way as well. So not that it's not goal, but it's all about us being well positioned in missiles and radar. Have we heard a ton about it yet from our customers, no. But we are on everything that we believe is going to be utilized pretty much. So we'll have more on that in the future, Tony.
Operator: [Operator Instructions] Our next question comes from the line of Noah Poponak of Goldman Sachs.
Noah Poponak: I know I guess if I look at the total company organic revenue growth through the year, low single digit in the first half, you're going to exit the year at low double digit and the defense business has had good growth for the year. Aerospace is down with the destocking. I guess as we go into 2026, can '26 look like the exit rate you're going to have here in the fourth quarter because the defense drivers -- I mean, that will be a tougher compare, but the defense drivers sound pretty durable. And then on the aerospace side, you're going to at some point, you're going to link up with Boeing, which will be pretty good growth off pretty easy compares. Can '26 grow double digits, total top line?
Suman Mookerji: So we will provide guidance on 2026 early in the year -- we don't typically provide the guidance now. But I would say that commercial aerospace destocking, we expect will continue to have an impact in 2026. I don't think we see ourselves catching up to Boeing production rates in -- at least the first half of 2026, given the amount of inventory held by them and also inventory at our end, right? So it's kind of destocking both at the customer and at our end that we need to work through. So I do agree with you that. I think we are at a trough, but how quickly we move off the trough, we'll have to see based on how quickly destocking gets done here over the next couple of quarters. On the defense side, we do continue to see good order intake and growth in our RPO. So the outlook continues to be positive for defense growth.
Stephen Oswald: No, we'll -- just our cadence, we'll -- I think our call is probably the end of February, right? So we will have a full view of our numbers. But I think you bring up a great point about, yes, there are lower comparison, which are going to be good for us, right? And eventually, we are going to sync up. The thing that I'm always a little bit worried about is that Spirit is always little bit a wildcard, still not closed with the purchase, and the fuselages and I don't know how many are back -- backyard these days, and that's more than half of our MAX business, right? So -- but we're very positive, but maybe in the first 6 months, it will be still a little rocky for commercial aero on the BA side.
Noah Poponak: Okay. Okay. I guess, how is 4Q growing low double digits if you're seeing that rockiness or the inventory destock for the next 6 to 9 months?
Suman Mookerji: Continued strength in our defense business. No, that's a key driver.
Stephen Oswald: And a little compare to what, 197? 197 in Q4 last year, we were up 201 in Q3. So a little bit less on the compare there.
Noah Poponak: Right. The compares can move around on you, okay. Can you just approximately how much of your revenue at this point on an annual basis is the MAX?
Suman Mookerji: So it's -- if you look at large commercial aerospace, it's about -- if you look at Boeing and Airbus, it's about 50% of our total commercial aerospace business and Boeing is more than half of our large commercial. So it's a meaningful portion of our commercial aerospace business, maybe it's still less than 20% of our Commercial Aerospace business today but expected to ramp up.
Stephen Oswald: Yes, And it's just -- yes, we're looking at the numbers here. We have a little cheat sheets here. I mean I'll add last year versus this year, year-to-date for the MAX, it's down double digit. So it's a good part of our business, but it has hurt us.
Noah Poponak: And then Suman, on the cash flow statement, you've had improvement in the working capital turns year-to-date after that's built up on you over the last few years. Putting the payment aside, do you expect 4Q to be up year-over-year? Or maybe where do you expect the conversion from your adjusted EBITDA to come in for the year on free cash?
Suman Mookerji: So we think about free cash flow to adjusted net income, and we are at 73% year-to-date, which is a significant improvement from where we were last year where that same conversion was around 40% and 33% back in 2023. So a significant improvement in free cash flow to adjusted net income conversion for the company. We don't provide specific guidance on cash flow generation, but we expect Q4 to be a continued strong quarter for cash flow generation kind of in line with what we have seen in the past couple of quarters.
Stephen Oswald: Yes. And our goal is 100%, which we're working.
Suman Mookerji: Our goal is 100%.
Noah Poponak: Okay. And what is the cash payment you will make? How much is the cash payment you'll make regarding the litigation in the fourth quarter?
Suman Mookerji: So the cash payment that we will make is a net payment to us net of insurance recoveries is just over $95 million.
Noah Poponak: Sorry, sorry, in our out?
Suman Mookerji: It's payment outflow of $95 million.
Operator: Thank you. It appears there are no further questions at this time. I would like to turn the call back over to Steve Oswald for closing remarks.
Stephen Oswald: Okay. Thank you very much. Thanks to everyone for joining us again for the call. Just to wrap things up here, we feel as we head into the end of the year, we feel great about our margins, what we're doing with defense. I mean we disappointed with the destocking and the continued sort of rocky road a little bit with commercial aerospace? The answer is yes. But we know that's our best futures ahead of us. And we're well positioned in capital, well positioned with the customer and look forward to a strong close to 2025 and excellent 2026. So again, all the best. Thank you for joining us, and have a great rest of the day.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.